Operator: Good morning. My name is Kasey and I will be your conference operator today. At this time, I would like to welcome everyone to the World Wrestling Entertainment Third Quarter 2010 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the call over to your host, Mr. Michael Weitz, SVP of Investor Relations. Sir, you may begin.
Michael Weitz: Thank you Kasey and good morning everyone. Joining me for today's discussion are Donna Goldsmith, our COO and George Barrios, our CFO. We issued our earnings release earlier this morning and we'll be referencing a presentation as part of our discussion. To clarify our performance and shed light on trends in the business, these and other materials, such as a quarterly, financial and metrics schedules are available on our corporate website at corporate.wwe.com. We will be making several forward-looking statements today as part of our discussion. These statements are based on management estimates. Actual results may differ due to numerous factors. These factors are described in our presentation and in our filings with the SEC. Reconciliation's for non-GAAP financial information discussed on this call can be found in our earnings release or on our website. Today, we will review our financial results for the third quarter and will follow this review with a Q&A session. At this time, it's my privilege to turn the call over to Donna.
Donna Goldsmith: Thank you, Michael and good morning everyone. And thank you for joining us today. Vince is unable to join us, but he did ask that I step in to provide a top line overview of the quarter for you. So let me give you some perspective on the quarter. We managed a 12% increase in adjusted EBITDA despite some challenges. Difficult trends continue to reflect the changing, talent based and overall economic weakness. On the large event front, we had a 10% decline in average attendance in North America. Pay-per-view had a 16% decline in buys for comparable Q3 events from last year or prior year. Home video had significant increase in returns at lower prices at the retail level. However, earnings growth demonstrated our continued focus on managing the business smarter. And so let's talk about some of our areas of strength. Our global relationship with our master toy partner Mattel continues to be profitable and sales are strong. Toy revenue outpaced last year by 172%. Our international team continues to develop new and emerging markets and we held our first live event in China at the Shanghai World Expo in August. We were voted best show by the local Shanghai newspaper, Xinmin Evening Newspaper. And all three tickets that we distributed for our event went in less than one hour. On the international licensing front, revenue rose 62% led by toys in Mexico. And we reduced SG&A expenses 23% or $8 billion. So I mentioned there were challenges and issues that we faced. Talent transition and overall economic weakness are both important factors in the Q3 revenue decline. In Q3, we had several top talents out. On the retirement front, Shawn Michaels and Dave Batista both left us after WrestleMania. Undertaker has been in and out of the ring with injuries. C.M. Punk was recently injured. HHH has been out of the ring and Chris Jericho was temporarily out of the ring. These absences have affected many areas of our business like the rent, pay and pay-per-view to mean too. On WWE film front, we have losses in the quarter from marketing expenses to support Legendary. Legendary DVD however is tracking to plan and we expect higher returns and profitability then in our prior business model fulfillment. We are now done with seven films or will be done by the end of year and our on-aid production highlight is through at least for the first quarter of 2011. And it's interesting to note as well that our films that we will make in 2011 will be at a lower expenditure. But we do continue to believe that the film business makes sense. It builds on our core competency. It grows our audience for us and generates returns. So let me conclude by saying our management team is working to address these creative challenges. We're working on developing new talents like Wade Barrett, Alberto del Rio and Nexus. And we remain confident we can achieve financial objective and deliver meaningful growth for you – our shareholders. And now I would like to turn the call over to our CFO, George Barrios.
George Barrios: Thanks, Donna. I would like to start by providing you with some additional perspective on our third-quarter results. For the quarter, we managed a 40% increase in operating income with a slight decline in revenue from the prior-year quarter. Our earnings for the third quarter of both 2010 and 2009 however included tax credit, which we believe impact the comparability of our results. Specifically, the third quarter 2010 included $6.1 million of tax credits related to our television and digital video production, which were recognized as a reduction of expense in these areas. To clarify trends in our business, I'll discuss that performance on an adjusted basis excluding the impact of these tax credits. For further discussions, please refer to this website presentation or our earnings release, both of which includes supplementary schedule outlined in these tax credits and their impact on our financial results. On an adjusted basis, our profit contribution declined 12% from the third quarter of last year reflecting three principal factors. These were first continued changes in our talent base, which inversely affected our live event and pay-per-view performance. Two, tough retail trends impacting both pricing and sale in our Home Video business and three, the transition to a new film model. Under which, we recognized marketing cost and recorded a loss in the period. In addition, continued weakness in the economic likely played a role in our results. Despite these challenges however, we managed a 12% increase in adjusted EBITDA with a 23% reduction in SG&A cost. Given the headwinds that we faced, this was not an inconsequential result. Our earnings growth demonstrated our ongoing focus on managing the business in a smarter and more efficient manner. For more detailed review of our performance in the quarter, let's turn to page 6 of our presentation, which lists the revenue and profit contribution by business units as compared to the prior year quarter. And assessing our performance you should know that there was no significant impact to our overall results from changes in foreign exchange rates. Starting with our live event including merchandise sales at these events, revenue decreased 15% or $4.8 million from the prior year quarters. This was primarily due to changes in our toy schedule, which resulted in 15 pure events in North America. During the quarter, we adjusted our schedule to facilitate our first event in China, support our SmackDown launch on SyFy, it's a postponed event in Gulf that is impacted by the recent oil spill. Average attendants both domestically and internationally was more than offset by higher average ticket prices. In North America, 10% decline in average attendants to approximately 5200 fans was offset by 13% rise in average ticket prices. Internationally, its only 6% decline in average attendants to approximately 6700 fans was offset by 31% increase in average ticket prices. Consistent with our strategic objectives of expanding our distribution in new markets for WWE, the quarter was highlighted by our first event in China. Our exhibition at the World Expo in Shanghai attracted the capacity audience. WWE event tickets were distributed in less than an hour. On this ground, we believe is strong potential in this market. Turning to our pay-per-view business, revenue decreased approximately 6% to $13.6 million reflecting a 16% decline in pay-per-view buys for the comparable events produced in the current and prior year quarter. The decline in revenue was mitigated by an increase in average prices. As a reminder, the suggested domestic retail price of non-WrestleMania pay-per-view events increased $5 to $44.95 in the beginning of January 2010. It's notable that on a comparable period basis, two of the three pay-per-view events in the quarter generated a year-over-year increase in revenue. Revenue from the distribution of our television programming increased by 10% or $2.8 million due to higher right fees from our television contracts, particularly on our international agreements. As announced earlier in the year, we've now transition our SmackDown program to the SyFy’s networking, the move, which became effective on October 1, expands our relationship with the NBC Universal family. In early October, we also moved our domestic NXT broadcast to our wwe.com website. The move is consistent with our objective of developing new media for the distribution of our content. Broadcasting our wwe.com website takes advantage of our audience of 2.3 million unique visitors worldwide, including 5 million unique visitors in the U.S. In our consumer products segment, our licensing revenue increased 37% to $10.8 million led by sales of our toy products. The continued strong growth of our toy sales, which were up more than 170% in the quarter and 92% year-to-date, demonstrate the efficacy of our partnership with Mattel. Unit shipments of our SmackDown versus RAW video game increased to approximately 330,000 units and marked the first year-over-year increase since the first quarter of 2008. Revenue from our video games however has increased slightly at the prior-year quarter benefited from an additional videogame titled Legends of WrestleMania. Recently our videogame partner THQ unveiled two new video games. SmackDown versus RAW 2011, which was released last week and WWE All Stars, which will be released next year. In our Home Video business, revenue decreased 36% to $7.2 million. Although, shipments of our new release and catalog titles increased somewhat, the period included adjustments to sell through rates. Our allowance for returns was 43% of gross domestic retail sales compared to 14% in the prior-year quarter. In addition, our average DVD price declined 6% to approximately $12 reflecting ongoing promotional activity in general industry trends. In our magazine publishing business, revenue decreased 24% to $2.6 million due primarily to lower newsstand sales. Sell through rates for our magazines fell 20% versus 26% in the prior-year quarter. In addition, overall circulation was impacted by the distribution of one last special issue during the period. In our digital media segment revenue decreased 8% to $6.8 million, primarily due to a decline in online advertising sales and the loss of a key wireless contract. Revenue from e-Commerce was made essentially flat as an increase in the number of orders was offset by a decreased in the average revenue per order. Specifically, the number of online merchandise purchases increased 7% to 59,000 orders while the average revenue for orders decreased 9% to about $46. During the quarter, WWE studio recognized revenue of $7.6 million associated with our portfolio of films. Including $3.8 million of revenue from our latest film Legendary, as a reminder, the business model for our previous home projects called for distribution to be led either by Lions Gate or 20th Century Fox. Under that model, we participate in the revenues generated by our films only after the print, advertising and distribution cost incurred by the studios has been recouped and the results have been reported to us. In contrast under our new model, we will manage the distribution and marketing of our films. As a result, certain marketing and distribution expenses will be recognized on our financial statements rather than those of our partners. Further, we will recognize revenues and expenses on an earlier timetable upon release of our film and also on a more accelerated basis consistent with our construct of simultaneous and abbreviated distribution windows. Legendary released in September was the first film to be distributed under this new approach. Based on the recognition of marketing expanses to support that film and our pending release, our overall film business recognized a loss in the period. In details for the Legendary film are tracking the plan. We continue to expect that film distributed under our new strategy will generate return and levels of profitability higher than that of the previous model. As of the quarter end, we had approximately $57.3 million in capitalized film production cost on our balance sheet, with approximately $18 million associated with our theatrical release 12 Rounds and roughly $34 million associated with film projects under our new model. We expect to amortize the production cost of this film projects over a shorter distribution periods than our previous model and a more accelerated fashion corresponding with the expected timing of revenue recognition. Overall balance sheet represents our stepped up investments in films, the rate of investment is expected to abate in the fourth quarter and we expect to place production efforts on hiatus through at least the first quarter of 2011, as we continue to evaluate our ongoing results. As a reminder, the strategic rationale for our film business is that it is built on our core competencies, expand WWE brand in audience and has the ability to generate returns in excess of our working capital. Turning to our overall results. Our adjusted profit contribution declined 12% to $43.8 million and margins fell to 40% from 45% in the prior year quarter. These results reflected lower revenue across our business segment and the loss in the WWE Studios segment. As I mentioned, the latter is attributable for the recognition of marketing costs under our new self-distribution model. For the quarter, adjusted SG&A expenses decreased 23% or $7.8 million to $26.4 million primarily due to adjustment to include management incentive compensation and to elect lesser extent lower legal fees and reserves for bad debt. Page 15 of our presentation compares the quarter over quarter results and provides a summary of changes by business and so adjusted operating income increased 18% from the prior-year quarter, as SG&A cost savings more than offset the declines in profit contribution. Similarly, adjusted net income as referenced on page 20 increased 39% to $10.3 million reflecting both the increase in operating income and a reduction in our effective tax rate. The current quarter rate of 34% benefited from certain production related reductions. The prior year rate of 42% was negatively impacted by differences between the taxes provided for, as compared to actual amounts calculated on returns. For the full year, we anticipate an effective tax rate of approximately 35%. Page 16 of the slide presentation contains our balance sheet, which remains strong. On September 30, we held approximately $195 million in cash and investment with virtually no debt. Page 22 shows our free cash flow. On a year-to-date basis, we generated $22.9 million in cash flow including $0.5 million in the current quarter. On a year-to-date basis, our free cash flow declined over $68 million – $66 million from the prior year, driven primarily by an increase in feature film investment and changes in the WWE’s tax position. Our cash investment in films increased by $40 million, driven by a $33.5 million increase in film production spending and the absence of $6.5 million in film tax incentives in the prior period. Related to the current period spending, we anticipate receiving approximately $7.7 million of film tax incentives in future periods. Capital expenditures increased to $9.1 million from $3.6 million in the prior year primarily due to increased investments in television production initiatives. In assessing our business performance, we’ve emphasized the impact of changes in our account base and of the sluggish economy. Based on our history of developing talent and creating content and broad appeal however, we remain confident that we can address our creative challenges and drive meaningful earnings growth. We will do this by strengthening our television and digital distribution leveraging our partnerships and maintaining financial discipline. These are the pillars of our business model. Consistent with the practice that we established last year, we completed a comprehensive three year financial plan through 2013. We chose to discuss this plan in our corresponding business outlook in conjunction with our review of 2010 results that is just part of our next earnings call. Looking ahead, we continue to focus on optimizing our results by executing our strategy in these areas and by taking advantage of our growth opportunities. We expect to generate superior economic returns. I’ll look forward to discussing these further with you in the near future. That concludes this portion of our call and I’ll now turn it back to Michael.
Michael Weitz: Thank you, George. Casey, we are ready now. Please open the lines for questions. 
Operator: (Operator Instructions). Your first question comes from the line of Richard Ingrassia with Roth Capital.
Richard Ingrassia – Roth Capital: Thanks. Good morning, everybody.
Donna Goldsmith: Good morning, Richard.
Richard Ingrassia – Roth Capital: Donny, you have already made a number of adjustments on the both event commitments and expense levels obviously in order to kind of navigate through the creative issues. Is there any more that you can do you think to tighten your belts, or you’re now on a steady state in those regards with the focus now really on the talent pool and I suppose waiting out a consumer recovery?
Donna Goldsmith: Yeah, I think that’s about right, Richard. And we certainly we watch everything we do, we are looking at everything from travel to marketing expenses. But we’re pretty much down and dirty at this point and doing the things that still make sense for the business. So to your point, I think it’s about the economy at this point and we’re working on the talents and our storylines, because our business is so much about the attraction. So, I think, yes I think that’s where we are at this point although we are smart business people, of course and we will always watch our expenses.
Richard Ingrassia – Roth Capital: And on paper view, I mean, with each of that in the quarter, you got closer to the 2009 by rates are comparable or is that – is it too early to tell or do you think you may be turning the corner there at least in terms of buys?
Donna Goldsmith: Well, I think, George you can probably answer this – as this comes…
George Barrios: Yeah. Rich, there are probably debates of what the right comparability is because in some cases, some folks might say, it’s more of the title where the attraction, so you should – you count that or should you count the actual periods. So, I think there is a lot of different ways to look at it. To your perspective, if you looked at it from comparable period, money in the bank had a significant drop off versus the paper view in the prior period. And then summer slam – in the September paper view, were almost flat. When you put in the price increases, the revenue is actually up. So, I don’t know if two data points make a trend. Actually, we’re obviously happy with the latter couple of months, but we will see into the future. I mean I think that as point is the overall G-point, which is the traction has got to be really, really strong and then includes the creative and the talent and then we’ll see.
Richard Ingrassia – Roth Capital: Okay. Last question then on films. Is there any more perspective you can give on film revenues and profits, if not numbers then maybe just timing, it sounds like you expect gains on Legendary to come in Q4? And if you will remind me the extent of your role participation in the DVD release, it looks like Legendary got moved to Q4? Is that right?
George Barrios: No, Legendary was in Q3 at the end of the quarter. We had, as I mentioned in the script, we shipped out according to plan what we could hear from point-of-sale is good news, but we’ll wait to see, we don’t actually get the real detailed numbers until a quarter lag. Knucklehead was then just recently shipped, so we’ll see that in the fourth quarter results which could make a significant portion of that. But in the current period, you had roughly $7.5 million, at some point $6 million of revenue. About half of that was related to Legendary; the other half is related to other films under the old models. So you are talking about significantly different margins under those two because you had a lot of frontloaded P&A cost on the Legendary. So legendary, we have good expectations for – we’ve seen so far and we’re excited about the other releases that are coming. But it’s going to make the P&L little bit lumpy until we get into a steady state, because you have two things happening, the change in approach and the accounting that follows that. And you also have the fact that in ‘09 we didn’t produce any films. So, we don’t get the benefit of that revenue profitability in 2010. So we’re going to have lumpiness for a while and then it will smooth out as we reach a steady state level of production.
Richard Ingrassia – Roth Capital: Right. And just a small pipeline in general, obviously, what’s the status on Knucklehead?
Donna Goldsmith: Knucklehead releases as a DVD, Richard on 11/9, which is Tuesday, I believe and we only – we did a marketing theatrical this time in just six or seven theatres in the major market. We have been promoting, of course, through our assets on our television programming, in our magazine, on our DVDs and we’re hoping for good things as we release the DVD across many retailers. The difference on Knucklehead versus Legendary is Legendary, we went with Wal-Mart exclusive for the first quarter. So, they have an exclusive on that DVD through the end of the year. Knucklehead will have broader distribution. And then one other thing I want to mention is that both DVDs have international distribution as well.
Richard Ingrassia – Roth Capital: Got it. Thank you.
Donna Goldsmith: Thanks.
Operator: And your next question comes from the line of Michael Kupinski with Noble Financial.
Michael Kupinski – Noble Financials: Thank you. I just have a couple of quick questions. With the attendance down for (inaudible) it’s kind of hard to determine if there is some traction on your new talent and storyline, any anecdotal evidence, possibly merchandise sales for some of the new talent that you’re starting to see some traction?
Donna Goldsmith: I can answer that – hi Michael, regarding Nexus certainly. As you know, Nexus is our team of about seven guys now that’s one of our new talent pool or in the new talent pool. And because John Cena has recently been forced to join Nexus, those merchandise sales, as you can imagine, have gone up. But again, that’s very, very early results on that. Wade Barrett, as part of Nexus on his own has been doing very well. We have this new talent as I mentioned before, Alberto Del Rio. So we’re working on it. We’re not quite there yet, they’re certainly not at the level of an Undertaker or a HHH, but it’s definitely a focus of the organization and the creative team to make those talents bigger.
Michael Kupinski – Noble Financials: And as we look to the fourth quarter, the number of events, will that go back to a more normalized level or some of the events that you kind of missed in the third quarter, is that just gone, can you just give us a little thought about year-over-year domestic events in the international as well?
George Barrios: Yeah. Well, one of the things, if you’ve noticed this year, just because of the way the calendar has fallen on some of the items, you had a significant increase in Q1 year-over-year then you had a significant decrease in Q2. I believe it was about 11 and then in this quarter, as we mentioned, an increase. So, I think we’ll end up the year about 8 to 10 down from last year; you can do the math of what I think about in the fourth quarter. So about 8 to 10 down. And there – we always give a range on events because there are changes we make during the year for logistical reasons. So, that will give you though.
Michael Kupinski – Noble Financials: Great. And you guys have just been doing a tremendous job in cutting expenses and keeping – and obviously a substantial decrease in SG&A expense, can you give me an idea of whether or not that’s a good run rate as we go into the fourth quarter?
George Barrios: Yeah. Well, I’ve said originally, I think at the start of the year I thought our normalized run rate was about 30 million – and there are two things that are hard for us to predict, our legal fees and then changes in management incentive compensation. And in the third quarter a big chunk of that – are suggesting our management incentive comp and that was the benefit last year, actually worked against this from an SG&A perspective. So you have both the numbers growing in opposite ways. So, I still believe the 30 million is roughly the right target on a per quarter basis with a little lumpiness depending on how we choose to deploy some of our marketing resources.
Michael Kupinski – Noble Financials: And then if you could just give me any progress on the launching of our cable network, particularly given the challenging environment that we have is that pushed back those plans or are those plans still full speed ahead?
Donna Goldsmith: We are still looking at doing the cable network, Michael. We had always contemplated getting more into it after the first of the year. So, we plan to talk to potential partners after first of the year and then finalize our plans at that time.
Michael Kupinski – Noble Financials: Okay. Great. Thank you very much for answering my questions. Thanks.
Donna Goldsmith: Most welcome.
Operator: (Operator Instructions) Your next question comes from the line of Marla Backer with Hudson Square.
Marla Backer – Hudson Square: Thank you. Given that, this is the first year that you have been working with Mattel and I think one of the strategies Mattel had discussed, that it would pursue would be a greater focus on kids – the kids’ market versus the collector’s market. So, A, just I was wondering whether that was something that you and Mattel have discussed and that’s something that you still think is reasonable. And B, if so, do you think we could see any kind of lip-off in terms of holiday sale on the toy side?
Donna Goldsmith: Well, let me get the first part first. As far as kids versus collectors, they are both very important market segmentation for that model. They’re always going to focus on the collector because that’s almost an easier sale for them because the collectors will always want the newest and hottest products. Kids, as you know are very fickle and what they have done and they’ve done it so well is that they have started advertising on kids programming on Saturday morning and of course they advertise a lot of programming as well. You will see them on Nickelodeon and on CW. So they do a terrific job of marketing the new products and they have been very successful as George and I both mentioned, our business is up a 172% with Mattel and yet some of that is a portion to a better deal in general. But the majority of it is due to better sales. They just are terrific partners and the distribution is very solid worldwide. They have distribution all over the world. Direct distribution meaning, they have offices in all of the global locations. In addition, going back to the other things that they have done very well is that they have segmented different kinds of products for the children versus the collectors versus mom that’s going to buy a gift set. So, everything from flex force, which has been a very successful segment for them, to the two packs, the championship belts and rings and a lease figures, as I mentioned those are for the collectors. They have really done a terrific job of segmenting the product for the different audience. And your second question was, will we see an uptick? Well, we have been already – we won’t give you any guidance, but I will tell you, our numbers have been so good already if they continue at the pace that there, I’m very, very happy with that.
Marla Backer – Hudson Square: And in terms of just – we seem to be staying just from the impact of this lingering economic uncertainty. I know, we are no longer in a recession apparently, but this lingering economic overhang. So given that, I know when this – when the economy really first starts to slide I think one of the things you talked about was focusing on making available a greater number of lower priced seats – (inaudible) and I think that was something that you initially did and had some success with. Are there any opportunities for licensing of merchandise at a lower price point or providing any kind of value pricing to your fans?
Donna Goldsmith: We always look at the price points on our licensees, really, look at the price points. And I believe they offer an array of price points. So Mattel, for example, offered mini figures at a lower price point and then equipped the collector bigger than the elite line at a higher price point. And we have everything from silly bands, which of course is the latest hot item for the kids, which is at a very low price point. So we do try to make something for everyone. And we work very closely with our business partners who are making that happen. I think we’ve done a good job at it, we can always do better. And we will continue to follow the industry trends, than of course where the economy is going.
Marla Backer – Hudson Square: Thank you.
Donna Goldsmith: You’re welcome.
Operator: (Operator Instructions). There are no questions in queue at this time.
Michael Weitz: Thank you, everybody. We appreciate you listening to the call today. If you have any questions, please do not hesitate to contact me, Michael Weitz at 203-352-8642. Thank you.